Olof Svensson: Good morning, everyone, and welcome to EQT's H1 results. It's been a very busy first half, where we executed strongly across the board despite the volatile market backdrop. First, we delivered on our focus on realizations and returning liquidity to our clients, exit volumes more than tripled compared to the first half of last year. And over the past 12 months, our realizations exceeded investments. Realizations delivered a weighted average returns of 2.3x over the last 12 months. Second, we delivered on our fundraising agenda with the final close of Infra IV at hard cap, a strong first close of BPEA IX and the launch of EQT XI. Third, we reached several milestones in our private wealth journey. EQT Nexus is now available in more than 20 countries, and we launched 2 new evergreen vehicles. And not least, we had a CEO transition. And today, Per will cover not only our results but also take some time to reflect on the market dynamics, industry developments and importantly, the strategic priorities for EQT. So let us go directly to Per. Next slide, please.
Per Franzén: Thank you, Olof, and good morning, everyone. I'm very excited to present to you all today our first half results as the CEO of EQT. In a volatile market environment, we remain well positioned to continue to deliver on our objectives, our strong global presence and geographical diversification puts us in a good position to continue to deliver alpha for clients in a volatile and increasingly multipolar world. Our global platform gives us an edge in relation to both monetizing investments, and sourcing new deals. And this is actually particularly true in the current slower deal-making environment that we're seeing in parts of the world. We continue to find attractive thematic investment opportunities, and we put EUR 7 billion of capital to work for our clients during the first half. And we continue to have an attractive pipeline. I'd highlight Asia, in particular, in places such as India and Japan, but we expect more activity during the second half. Being one of the largest platforms in the private markets industry also helps us achieve several other things. Thanks to our scale, we can continue to invest into our sector expertise, our value-creation toolbox, our digital and AI capabilities. We can stay ahead of technological shifts. We can stay invested in the right teams and subsectors, and we will be able to continue to future-proof our portfolio companies. It's taken us more than 30 years to build this platform. It's taken big investments, and it really only works thanks to the strong alignment that we have across the firm around our values. Of course, there are regional cultural differences, but our values are really nonnegotiable. At EQT we're respectful, entrepreneurial, high-performing, informal and transparent. And these values combined foster a culture of global teamwork, knowledge sharing and constant improvement. And we want to continue to build and run EQT in a way that we remain true to our values, that we remain an agile and entrepreneurial organization. A high-performance organization centered around deal-making, value creation in everything we do and excellence in client service and capital raising. And this has been a key focus of mine during the first 100 days of my leadership, and I'll come back to that later on in the presentation. Next slide, please. Performance is what enables our future growth. It gives us the right to win, both with institutional and with private wealth clients. Over the last 3 decades, we have consistently delivered strong risk-adjusted returns. Across strategies, on average, we've realized returns of more than 2.5x. During this time, we've also consistently delivered alpha to our investors outperforming relevant public market indices. Next slide, please. thanks to our thematic investment approach. We're invested in attractive businesses with strong management teams in noncyclical sectors supported by long-term structural growth trends. And it's exactly these type of assets that investors want to allocate capital to in volatile times. Today, we have top quartile DPIs, and we continue to work systematically with exit prioritizations. Maintaining attractive DPIs is strategically important to us, it earns us the trust from our clients to be able to raise new funds and also the trust from our investors to stay invested in our winners. Today, we're in a position that, unless terms are attractive, we don't have to monetize deals in any of our funds. Having a disciplined approach to managing exits also ensures that we maintain a young and thematically invest portfolio over time and that our deal teams don't waste time on legacy assets that will not really drive fund returns. The way we monetize deals in a volatile environment during the first half is a testament to this mindset and our differentiated exit capabilities. Over the last 12 months, we've generated proceeds of approximately EUR 20 billion for investors, whilst delivering on our return targets. And during this time, across the key funds, we produced a weighted average MOIC of 2.3x. All key funds in realization mode show top quartile DPIs based on the latest available benchmarking data. Our exit push is helping us maintain that young and thematically invested portfolio. Only 20% of the portfolio has been held for more than 5 years. And on average, the portfolio is only approximately 3.5 years old. We have a strong exit pipeline also for the second half of the year. So if market conditions remain as they are today, I'm optimistic about our ability to continue to derisk funds and monetize investments. Next slide, please. Our strong progress on value creation and derisking funds is even more differentiated in the currently slower deal- making environment that we're seeing in certain parts of the world. The flagship vintages invested between the years of 2018 to 2022 illustrate as well and we have 3 examples on this page. All of these funds are invested in attractive resilient sectors and high-quality, market-leading companies with pricing power. BPEA VII, a 2018 vintage fund has come the furthest on its value creation journey and has already made 11 exits. The fund is invested across Asia in India, Southeast Asia, Korea and Japan. And India represents the largest part, approximately 1/3 of invested capital. It's invested in the health care sector, in tech services and industrial tech and is expected to generate a gross MOIC above plan. EQT VIII, a fund that is not shown here on this slide, that's also a 2018 vintage fund and is in a very similar advantageous position. Turning to our 2020 vintages, EQT IX and Infrastructure V. As we invested during 2020 and 2021, we knew that we were in a high valuation environment that was fueled by low interest rates and easy access to liquidity. We, therefore, made sure to invest those funds in a disciplined way when it comes to sector selection, geographic diversification, also investment pace. We made sure to assume significant multiple contractions in our exit multiple assumptions, and we prioritized flexible financing structures over maximum leverage. And all of this is really paying off for us now. And if you look at the relative performance of these funds, they are in a strong position. Of course, we also do have challenges in those funds, as you would really expect from almost any of our prior vintages. This is part of our model. But we deal with these challenges in a responsible way, and this is also very much reflected in our overall assessment and our on-plan assessments for these funds. In EQT IX, we've to date had 3 exit events, Idealista, Beijer Ref and IFS. The recent stake sale of IFS valued the company at an enterprise value of EUR 15 billion. And this means that this investment is now valued at close to 6x gross MOIC in Fund IX, and we see significant further potential ahead. Looking at prior funds, riding the winners, like IFS, typically has an outsized impact on overall fund returns. Post these exits, EQT IX has reached a DPI of 0.3, which is relatively strong for this vintage. Turning to the Infrastructure V, this fund has made 1 full exit so far, the sale of Fiberklaar last year. The exit was realized at our target returns, but it was relatively small in absolute amounts and hence, not really moving the needle when it comes to DPIs for the fund. Importantly, just like for EQT IX, also in Infrastructure V, we have a clear winner in the fund with EdgeConneX. Since our entry in 2020 and during our ownership, EdgeConneX has become one of the largest data center platforms globally. The investment was recently valued at close to $20 billion in a minority stake sale. For both EQT IX and Infrastructure V, we're confident to reach our target MOIC returns but will need a somewhat longer time to get there compared to prior vintages. And many investments in these funds are still in a value creation mode and will only gradually enter into realization mode. Next slide, please. Since our IPO in 2019, we've grown fundraising volumes by nearly 4x, a testament to our strong track record and relative outperformance. The recently released PEI, infra and real estate rankings for 2025 really speaks for itself. EQT continues to rise in the rankings and has become the #1 European player across strategies. EQT is the second largest private equity firm globally now based on capital raised. And even though we're one of the largest players in the private markets industry today, we still see significant potential to build and grow our global platform from here. We will continue to invest into our presence across Asia, Europe and the U.S. And whilst we have a very strong presence already in Europe, we still see scope to grow our activities in parts of Europe. Having said this, geographically, we do see the biggest remaining growth potential for us in Asia and in the U.S. Across strategy, we see an opportunity to scale all our existing platforms. In private capital, there's an opportunity to really substantially grow our private equity business in the U.S. and in Asia. Asia is set for tremendous growth ahead, and we're uniquely positioned to take an outsized share of that growth. For example, the buyout market in India, one of our most important markets in Asia is expected to triple to more than $50 billion by 2030. In private capital, we're also excited about the potential that we see in some of our newly launched strategies, long-haul strategies, the growth funds and the mid-market funds. In EQT Infrastructure, we see potential to scale all the existing platforms that we have. And geographically, we want to leverage also here our strong pan-Asia presence to increase our activities in that part of the world. In EQT Real Estate, we've maintained a disciplined thematic investment approach and we've had strong performance, including a relatively young portfolio. And relative to the size of the asset class, of course, our business within Real Estate is still small. So this is an area at EQT where we believe that we can -- that we believe that we can grow substantially from here. And to do this, we want to continue to invest into that platform, to broaden our thematic investment focus beyond logistics, also to other areas. And a good example of such an area could be data centers where we see also synergies with our infrastructure platform. Next slide, please. The private markets industry is a cyclical growth industry. Recently, the deal-making environment in some regions been a bit slower. As a result, the industry also is currently facing a more challenging fundraising environment. Mid to long term, though, the secular growth trajectory remains very much intact. Over the past decades, private markets have outperformed public markets and investors are looking for managers like EQT to get access to diversification and global alpha. The largest share of the expected growth in absolute terms will continue to come from institutional investors. But the most rapid relative growth will come from the private wealth segment. And this is also the area in the private markets that is seeing the fastest and most significant developments when it comes to products as well as distribution channels. EQT is very well positioned to benefit from this growth, both with our institutional clients and within private wealth. Around 75% of private markets, AUM and the growth in AUM in the next decade is expected to come from institutional investors. About 1/3 of that growth is expected to come from sovereign wealth funds. At EQT, we have strong and long-term relationships really with all of our institutional clients. The average tenure of our top 100 clients is 15 years. We expect to continue to capture an outsized share of the institutional growth in the industry. There are a number of reasons for this. Firstly, clients are increasingly concentrating commitments with fewer managers. They are increasingly focusing on scale managers such as EQT that have a strong track record. Almost all of the world's largest sovereign wealth funds are invested with us, and we're continuously growing our share of their private market allocations. Secondly, around 2/3 of our fund investors over the last 5 years have only invested in 1 EQT product, meaning there is only 1 EQT strategy, meaning there's significant opportunity for deeper engagement with our existing client base. We're also driving product innovation, new thematic strategies, co-investment programs, continuation vehicles, new exit concepts, and this also helps us attract new clients. And finally, as a result of the volatile and uncertain market environment, we've also seen a mindset shift among private market investors. For the first time since I started in the industry, investors are really focused on portfolio diversification. Many institutional and private investors are realizing a need to rebalance their portfolios, thanks to our scale across Europe, Asia and North America, we're really uniquely positioned to help investors achieve this objective. At EQT, we have a differentiated ability to deliver global alpha. During the last 12 months, we've attracted 60 new clients to our platform and also private wealth, we're seeing very encouraging, very strong momentum this year. We've seen a breakthrough in our private wealth journey, reaching several milestones that Gustav will elaborate on shortly. Next slide, please. Looking ahead in the EQT leadership team, we want to make sure that EQT is ready for this next phase of our growth. As the new CEO, this has been my priority out of the gate. Over the last couple of months, I've been working together with the leadership team to review our organization. Together, we've taken a number of actions to ensure that we maintain a firm-wide focus on excellence in dealmaking, value creation and client services that we stay true to our values and keep our entrepreneurial culture as we scale, and that we have an effective and efficient operating model so that we can continue to invest into our growth opportunities whilst delivering on the margin targets that we've committed to as a public company. To achieve this, we've decided to take action and to reduce complexity and drive simplification and parts of our business. For instance, we're combining the early-stage strategies into 1 integrated platform, EQT ventures and EQT growth under the leadership of Carolina Brochado, we've decided to further integrate our value creation functions within digital, AI and sustainability, further into the investment organization. And when it comes to AI, we want to stay at the cutting edge of the technological development, both in terms of how we support our portfolio companies driving value creation, but of course, also how we embed AI into our own organization. We're also merging the client relations and capital markets platforms under the leadership of Jim Yu, we see an opportunity to drive even more innovation at the intersection of capital markets and client services to create even closer and more strategic partnerships with our investors. As a result of all of these initiatives, there's been an opportunity to also reduce the size of the executive committee from 10 to 8 members today. And all of these actions will help us remain that entrepreneurial, lean, an agile organization that can move quickly in a volatile world. And this will put us also in the best possible position to continue to actively participate in the ongoing consolidation of the industry. As I mentioned earlier, fundraising markets remains a bit more challenging near term. And during this time at EQT, we will continue to make investments into the strategic growth areas, AI, private wealth, branding, marketing, to name just a few. But of course, not everyone in the industry will be able to make those investments. We, therefore, believe that all these factors mean that industry consolidation is likely to accelerate. In the EQT executive committee, we want EQT to be the partner of choice for well-performing players in our industry, looking to become part of a scaled alpha-focused high-performance platform. We enjoy a good reputation as a consolidator in the industry following some of the successful transactions that we've already done. In particular, I'd highlight the success of the integration of bearings, and that is also something that is well known in the private markets industry. Our North Star is that we want to continue to build the most attractive platform in the industry, delivering global alpha and excellence in client services and innovation. Whilst investing in these growth opportunities, we remain committed to our ambition to reach a fee-related EBITDA margin of 55% plus. Assuming we deliver on our fundraising agenda, we will see a step-up in management fees. We also expect to see the benefits from scaling some of our recent growth initiatives including our investments into growing within private wealth. And we will continue to seek ways, of course, to always run EQT in a better way. Our philosophy, everything can always be improved everywhere at all times. The ongoing rightsizing of the organization and the new leadership setup is part of that journey. It's a journey to make sure EQT remains agile, fast-moving and increasingly profitable so that we can continue to invest into the growth opportunities that we see. With that, I hand it over to Gustav. Next slide, please.
Gustav Segerberg: Thank you, Per, and good morning, everyone. The first half of '25 saw strong fundraising momentum with gross inflows of EUR 18 billion of which EUR 15 billion in our key funds. Infrastructure VI closed at EUR 21.5 billion, significantly exceeding the EUR 20 billion target and hitting the hard cap. BPEA IX held its first close in April and has secured USD 11.4 billion in commitments to date. We expect the fundraising to materially conclude this year, and to reach a hard cap of USD 14.5 billion upon final close in early '26. We've also launched the fundraising for EQT XI our next-generation flagship fund for private capital in Europe and North America, targeting EUR 23 billion, which so far has been well received by our clients not at least on the back of the strong exit track record during '25. We expect EQT XI to be activated during the first half of '26. The key fundraises will then be followed by Infrastructure VII, where we expect to activate that fund during the second half of '26. Furthermore, we continue to raise capital for certain other funds, including expecting a strong first close for EQT Real Estate Logistics Europe Fund V in July. As a reminder, the predecessor fund was closed in '21 at EUR 2.1 billion, and we expect a fairly significant increase of fund size for Fund V. Furthermore, we continue fundraising for 2 of our first-time funds in EQT transition Infra and EQT Healthcare growth, where our previous guidance still holds, i.e., health care growth at EUR 1 billion to EUR 2 billion and transition Infra more around EUR 2 billion to EUR 4 billion. We currently have dry powder of approximately EUR 50 billion with around EUR 10 billion still to be fee-generating upon deployment. Next slide, please. As previously stated, we expect to raise approximately EUR 100 billion in the current fundraising cycle, primarily driven by the institutional channel and increasingly complemented by private wealth. Of the EUR 100 billion, the largest portion, approximately 60% will come from our 3 flagship funds across Private Equity, and Infrastructure. For these funds, we expect a material absolute growth. For example, EQT XI is targeting EUR 23 billion which is EUR 3 billion above the target for EQT X, which is then a 15% step up. Next to the flagships are our newer and scaling strategies. These are critical for EQT's long-term profitability and platform diversification over time. We expect some of them to become breakout strategies in terms of size and growth potential. That said, we're still in a cycle where newer strategies take a little bit longer to scale. Real estate continues to scale through our logistics focused strategies in the U.S. and Europe. As I mentioned, fundraising is ongoing for our European value-add fund and in '26, we will also initiate fundraising for the next value-add fund in the U.S., where the last fund was around USD 5 billion. In total, we expect Private Wealth to represent around 15% to 20% of fundraising in this cycle, consisting of 3 main type of fundraisings. Firstly, into the closed-ended funds via feeder funds. Secondly, into the closed-ended funds via our EQT Nexus strategies. And thirdly, alongside the closed-ended funds via our U.S. evergreen structures as well as via co-investments in the Nexus strategies which is around 1/3 of the total capital in the Nexus funds. We expect that this third bucket could contribute up to 10% of the capital raised in this cycle. Next slide, please. As Per mentioned, in the last 6 months, we reached several milestones in our private wealth journey, on the back of clients increasingly selecting EQT to access global alpha. We have recently launched 2 additional evergreen product. Firstly, in April, EQT Nexus infrastructure was launched, providing access to our infrastructure platform to clients in EMEA, Asia and Canada. And secondly, on July 1, we launched our Private Equity vehicle targeting U.S. private wealth investors with a global private bank as its first distribution partner, and expecting a large wire house to start providing inflow by September 1. Fundraising for EQT Nexus has progressed well during the first half of '25, with more than EUR 500 million raised and several new markets opened up. In June, a private wealth initiative in Japan raised around EUR 125 million during its first month. Japan is a key market for EQT's private wealth strategy, especially in Asia. We're still early in our private wealth journey, but the progress in the first half of '25 shows that we're gaining momentum and that we have the right to win in this channel as well over time through providing the global alpha. In June, we raised around EUR 300 million across our evergreen strategies, setting a good goalpost for monthly inflows. In the second half of 2025, we expect to launch 2 additional vehicles. One for -- one U.S. structure for Infrastructure. and one additional European structure for Private Equity, creating increasing opportunity for scale across our Evergreen offering. And with that, I will hand over to Olof to talk about investments and exit activity. Next slide, please.
Olof Svensson: Thank you very much, Gustav. So turning to deal activity. This is the first time since 2022 that our exit volumes over the last 12- month period exceeded our investment volumes, a testament to our focus on providing liquidity for our clients. Focusing on the first half of '25, we invested about EUR 7 billion. This is slightly lower versus last year, but we have an active pipeline for the second half. If we look at the deals to date, about 40% of the investments were made in Europe, 1/3 across North America and 1/4 in Asia. As I said, the pipeline for the second half is strong, and we expect 2025 overall to be another very busy investment year for us. Our clients are looking for diversification into Europe with us, which we are delivering through our local platform. And Europe is continuing to ramp up infrastructure spend where we, for example, see demand-driven investment opportunities across digital infrastructure, energy and environmental-related themes. This goes for Europe, but also across Asia and the U.S. Looking at Asia, we now have the largest pool of dry powder available, and we expect to be able to unlock some very interesting opportunities across the region during the second half, potentially including some public to privates. And the U.S., as you know, continues to be a growth market for us in the region where we continue to expand our investments. On the Real Estate side, the investment pace is still not at full potential, but we continue to selectively see opportunities, particularly in logistics and the core plus strategies, and the buying dynamics are often interesting with relatively lower competition for certain assets. Next slide, please. Turning to exit activity. In the first half of the year. As mentioned, we announced approximately EUR 13 billion of exits already surpassing last year's volumes and more than tripling the volume that we had in the first half of last year. Approximately 70% of the exit volumes was from funds that are in carry mode. We've had a diverse universe of buyers with minority investors, strategic buyers, sponsors and about 1/5 of the exits were equity capital markets transactions, including the sell-downs in Galderma, Azelis, Kodiak, Sagility and Waystar. Importantly, our exits are delivering strong returns for our clients. Looking at the past 12 months, we announced exits of approximately EUR 20 billion in total across Private Capital, Europe and North America. The realized return was about 2.4x i.e., towards the upper end of our 2 to 2.5x target return range. In Infrastructure, we've returned 2.1x, again towards the upper end of our 1.7 to 2.2x target return range. And in Private Capital, Asia, we realized returns of 2.9x above the target return range. We're also working systematically to ensure our portfolio is focused on the companies and assets where we can drive outsized returns, as Per mentioned, and we are keeping the portfolio current. In H1, for example, we exited the last company in Infra II, and the final proceeds in this fund can be returned to clients and the fund has delivered a 17% net IRR. If markets remain supportive, we expect an active second half. We had some quite large exits in H1 and in order for the second half to be as active in as we were in the first half, we, of course, need stability and a supportive market backdrop. As always, the bar for action remains high and we'll be thoughtful about timing and valuations in our exit activities. And we continue to plan for a number of IPOs. Again, our global platform plays to our strengths here. Year-to-date, 4 of the 5 most active ECM markets by country are actually all in Asia. Next slide, please. Before handing over to Kim, a few quick points on our capital markets journey. First, we are now part of all major relevant indices with the recent OMXS30 inclusion being the fourth largest Swedish company listed in Stockholm. Second, EQT's free float is at around 32%, and we expect most index providers to increase the free float assumption after our next lockup release in Q3, which amounts to 11% of the share capital. And third, we had the pleasure of hosting a Capital Markets event in London recently, featuring a number of our portfolio companies, CEOs and industrial advisers and a replay is available using the button that you see on the slide in front of you. So with that, I'll hand over to Kim. Next slide, please.
Kim Henriksson: Thank you, Olof, and good morning, everyone. All our key funds continue to perform on or above plan. During the period, the key funds valuation increased by an average 1%. The depreciation of the dollar against the euro impacted fund valuations negatively and excluding those FX effects the value uplift would have been around 5%. Per has already provided some reflections regarding our 2021 vintages. We are confident about the underlying performance and as previously mentioned, even in a fund generating on or above target returns, it is inherent in our business model that there will also be a few assets not delivering according to plan. In the most recent vintages, the ones that are currently investing, the underlying portfolio is also performing well in relation to plans, and we have added a number of exciting new portfolio companies during the year. As a reminder, they entered the portfolio at the valuation of 1x. Next slide, please. Since our IPO in 2019, we have seen 2 larger step-ups in management fees, reflecting a successful flagship fundraises and M&A. As previously stated, we expect another step-up over the coming years as we execute on the ongoing fundraises. BPEA IX was activated in March and we expect to activate EQT XI and Infrastructure VII in 2026, but with a full year effect on management fees not before 2027. Looking at H1 2025, we grew management fees year-over-year by 10%, paced by closed out commitments on our key funds. Total catch-up fees, i.e., revenues recognized in 2025 relating to funds activated in prior years, primarily Infra VI in this case, amount to approximately EUR 90 million. Next slide, please. So far this year, we have added about 20 FTEs, primarily within our capital raising funds. Our commitment to grow remains both in the private wealth space and in selected geographies of strategic importance, especially across Asia and the U.S. but also in Europe. At the same time, we will be reviewing and streamlining the organization during H2 to ensure we remain agile, as Per alluded to. We expect the net increase in FTEs in H2 to be even smaller than in H1, and we will also take a hard look at other cost items such as contractors. Next slide, please. EBITDA margins increased to 60%, up from 56% in the first half of 2024. This was driven by higher carried interest and investment income, which I will talk more about in a minute. The fee-related EBITDA margin in H1 was 54%, including the catch-up fees earlier mentioned. Our total operating expenses for 2025 are expected to show a similar growth rate as in 2024. In 2026, we should see the full year effect from the efficiency measures to be taken during H2. And as a result, we expect that the total OpEx growth rate will be in the single digits in 2026. Thereafter, the next-generation flagship fundraising will start to become visible in the numbers as will the continued scaling of our various growth initiatives, including private wealth. Putting all of this together, we expect to reach a fee-related EBITDA margin of 55% at completion of the current fundraising cycle. Next slide, please. During the period, we increased the exit base. Hence, carried interest and investment income increased to EUR 191 million, up from EUR 41 million in H1 of '24. Over the last 12 months, we have recognized around EUR 400 million in carry and investment income. We've signed a number of investments that are scheduled to close in H2 and we have a strong pipeline for deals going into H2. Based on signed exits and current exit plans and again, assuming that market conditions remain as they are today, we expect to deliver H2 carried interest at least in line with H1. Looking into 2026, we expect that carry will be paced by the 4 key funds already in carry mode. These 4 funds are expected to generate another EUR 1 billion of carry over a multiyear period. The next 2 funds to enter carry mode Infra IV and EQT IX are currently executing on their value creation and on their realization plans. And even in an exit environment that is supportive, we do not expect EQT IX to enter carry mode until 2027. And for Infra IV, the same applies. But there is a scenario where it could recognize carry already next year. However, that would require us to exceed our current exit plans. Next slide, please. Our balance sheet remains robust and well capitalized. It provides us the flexibility to support growth across the platform, and we actively use the balance sheet to support growth initiatives, such as products in private wealth and new strategies. As at H1, 2025, on balance sheet, we have fund commitments of approximately EUR 800 million and a further EUR 1.5 billion of strategic growth investments which we expect to recycle into new initiatives over time. In May, we successfully priced Its EQT's inaugural dollar-denominated bond raising $500 million with a 2035 maturity. Let me also remind you that June and December are generally the low points in our cash balance as we get cash from management fees in July and January, and we paid dividend in June and December. So to summarize, with a robust balance sheet, we are well positioned to support continued organic growth, commit to our funds and where relevant pursue M&A opportunities. With that, I hand over to Per for some concluding remarks.
Per Franzén: Thank you, Kim. To summarize the key takeaways from today's webcast. We're taking action to streamline teams so that we can remain an agile and fast-moving organization that can continue to scale while staying focused on deal-making, value creation across everything we do and excellence in capital raising. Second, our fundraising momentum remains strong and we're set to benefit from structurally growing private markets. We continue to see strong support from institutional clients and we've reached important milestones in our private wealth build-out with more to come in the second half. Third, performance across funds remains on track. In a volatile market environment, all key funds remain on or above plan. We continue to monetize investments, and we've announced EUR 13 billion in exits so far this year. And we have an active pipeline when it comes to both investments and realization opportunities for the second half. And finally, as we scale and invest into our growth opportunities, we remain committed to our margin target and achieving a fee-related EBITDA margin of 55% plus based on the current fundraising outlook. With that, I'd like to open it up for Q&A. Operator, please?
Operator: [Operator Instructions] We will now take the first question from the line of Ermin Keric from DNB Carnegie.
Ermin Keric: Maybe just if we start on the fundraising outlook. So how should we view the EUR 23 billion target for EQT XI, I mean if we compare it to the final size of EQT X, it's not a very big step up if we compare it to what you've done historically. Is there some kind of glass ceiling to how large single funds can be? Or is it more a reflection of tough fundraising markets because I think if we put it in a relative perspective, EUR 23 billion would still be a very strong number. And I know you could also overshot it a little bit.
Per Franzén: Yes. I can take that. We set the fund size target for Fund II based on the previous fundraising amount that we achieved for the fund and also putting it into the relation of the EQT X original fundraising target, which was EUR 20 billion, right? And in the end, we ended up raising EUR 22 billion. We see good momentum in the fundraising for EQT 11, a very strong reception so far. And then exactly where we end up setting the hard cap, that's a bit too early to tell.
Ermin Keric: Fair enough. Then on the Slide 11, when you showed the bridge on the kind of new -- the coming fundraising cycle, we expect to have around EUR 100 billion, could you just go through the evergreen part again. So 10% would be the kind of incremental fee paying AUM you expect from evergreens in excess of what's going to go directly in the flagship funds. So just kind of the direct investments that the evergreen structures are doing. And if so, just kind of what gives you the confidence you'll be able to have that much because I suppose that would imply quite a big acceleration from what we've seen so far from Nexus?
Gustav Segerberg: Yes, you're correct. So that is the part that, as I said, it's 2 parts to it. It's the co-investment part of the Nexus strategies in Europe, and then it's all of the U.S. evergreen strategies.
Ermin Keric: Okay. So it would include also if we have like a U.S. evergreen that's investing directly, partly in your underlying funds, it would include all of that capital for those funds.
Gustav Segerberg: Yes, but they are not investing into the underlying funds. They are only investing alongside the funds. And therefore, it will not be part of the closed-ended volume.
Ermin Keric: Got it. Then just last question would be, if we think about when you took over as CEO, Per, you made some changes kind of to the organization, kind of how much more do you think there is to still be done? Or is most of it already now in place and now it's more just down to the execution?
Per Franzén: As we said, we put in place a new organizational design across parts of the firm. We put in place a new leadership team. And in this leadership team, we have also taken the decision to take further action during Q3 and during the second half of the year so that we can remain that agile, fast-moving organization that is in the best possible position to realize all of the growth opportunities that we see. And then exactly what that means in terms of the numbers, I'll leave that up to Kim to answer.
Kim Henriksson: You want me to comment now?
Per Franzén: If you want to say anything further?
Kim Henriksson: Well, I guess what we said was on the head count side, I mean, we're going to continue to slow down the net intake. This is -- remember, it's a net number. So we will always be recruiting people to our growth -- to our different growth initiatives and then there's other areas where there's an opportunity to trim the headcount. You should -- as per my guidance on the cost base for this year, it's not going to have any significant impact on the cost base for this year. We are already in July here, so you shouldn't expect that. But going into '26, I think we will be in a good position to sort of execute on the growth initiatives that Per said, and eventually then reach the EBITDA margin goal that we've set ourselves.
Operator: We will now take the next question from the line of Oliver Carruthers from Goldman Sachs.
Oliver Carruthers: Oliver Carruthers from Goldman Sachs. Just 1 question from me. So earlier this week in the press, it has been reported that the Trump administration is in the process of finalizing an executive order that would formally allow 401(k) or U.S. retirement plans to allocate a portion of their assets to alternative investments and private markets. Obviously, this has been something that's been in focus for the industry for a number of years. And I'm not asking you to kind of comment on the likelihood of the exact order. But could you kind of talk more broadly about the 401(k) market in the context of evergreen and private wealth business that you're building in the U.S. and really how addressable that could be for EQT over time?
Gustav Segerberg: Yes. Maybe I'll take that. So I think as you say, there is a lot of speculation about it. And I think over time, I think what we're excited about, both in the U.S. and across other markets is that we think that we're very much still in the first inning, so to speak, of what's happening within the private wealth space. And it kind of -- it really started with advisory capital starting to come in into the evergreens. And now we're starting to see more model portfolios. We're starting to see more discretionary capital at the end of the day, also starting to see more let's say, pension-related capital, such as the 401(k), so to speak. So I think we're -- we feel that, that together with the other ones is a big opportunity. As I said, we just launched our first product now in July in the U.S., but where, of course, the 401(k) opportunity is a significant growth pillar that we see for our evergreen strategies as and if it gets the ability to access it. I think our interpretation of it is probably that some of the more liquid strategies, especially credit will probably be quicker to come into the 401(k) but of course, over time, we expect also the Private Equity, Infrastructure, Real Estate side to be a relevant part of it.
Per Franzén: And over time, right, I mean, that the proposition that we have being the provider of global alpha will also position us really well in relation to this opportunity.
Operator: We will now take the next question from the line of Angeliki Bairaktari from JPMorgan.
Angeliki Bairaktari: Just 3 questions from me, please. First of all, with regards to the EUR 1 billion carry that you expect to realize from existing funds, how many years do you expect it will take to actually crystallize that? And second question, just a follow-up perhaps related to your previous answer with regards to the 401(k) opportunity in private credit where do you currently stand with regards to sort of potentially adding private credit as a fourth asset class, especially as the industry is developing and you do -- you have gone out again M&A opportunities. Is it something that you could consider down the line? And third question with regards to management fees. Thank you for giving us the EUR 90 million catch-up fees for the first half, even when I take that into account into the management fee margin, the calculated management fee margin I get to and is actually higher and then as sort of the run rate historically, was there anything particular driving a higher management fee rate perhaps in real estate or in any other funds this first half? Thank you very much.
Kim Henriksson: I'll take a couple of those, maybe. If I start from the latest one, in addition to the catch-up fees that we're in there, we also have an increasing amount of capital markets-related fees in our management fees. And those we hope to be able to accelerate further with the new organizational structure that we have in place, where Jim Yu is leading both the client relations and the capital markets team. So that may explain the sort of difference that you're finding there. I think your first question was about the EUR 1 billion of funds -- EUR 1 billion of carry that is in the current -- that is currently in carry mode about those funds. If that is so, again, it's a function of the market development. It's a function of how the -- which companies are ready for exit, when and whether both particular markets will be open at that particular time. So it's very difficult to say exactly when it's going to happen, but it's not in 1 year, and it's probably not in 2 years either. You should expect it to be over more than 2 calendar years, that number. And then there was the credit.
Per Franzén: And in terms of adding new strategies to the platform, we're constantly thinking about how we can continue to strengthen EQT for the benefit of all stakeholders in building that most attractive platform in the private markets industry. We're engaging with our clients on conversation in this regard. I'd say that based on that feedback, there are parts of the industry that are of interest to us in terms of filling gaps in the platform. As we've said previously, the whole secondary solutions space in the private markets industry is an area that we're looking carefully at. And I think it would be something that also our investors and our clients would appreciate also EQT support in helping them provide more solutions in this area and would help us then also build even closer and stronger relationships and partnerships with our investors over time.
Operator: We will now take the next question from the line of Arnaud Giblat from BNP Paribas Exane.
Arnaud Maurice Andre Giblat: I've got 3 questions, please. Could I just follow up again on the 401(k). I mean a number of your U.S. peers have embarked on a partnership approach with large traditional asset managers. I'm just wondering if that's a route you could envisage. Also, I suppose, this is, I mean, part of the wealth and the 401(k) opportunities does require perhaps a bit more brand awareness. I was just wondering what your plans were there, if you were looking at doing more on the branding side. Secondly, I was just wondering if you could come back to the activity you've seen in H1 with exits with nearly double the level of investment, should we -- is this just a function of lumpiness? Or should we interpret this as you're seeing the environment, the evaluations opportunistically better to be exiting. Is there anything to say there? I mean I heard you on the pipeline both looking good on investments and exits but I'm just wondering if there's anything to read into the fact that exits were stronger. And Finally, on the cost growth. I was just wondering, Kim, if you could come back on to how you are envisaging 2026 and beyond, if I heard you well, it's sort of mid-single-digit growth in cost for 2026 with -- does that -- or do you see yourselves to continue at that sort of pace in terms of cost growth beyond?
Gustav Segerberg: All right. Maybe I start with 1 and 2 on the 401(k) and the branding side. I would say the following, so to speak. I don't think that we envisage to, let's say, be the full solution provider of any 401(k) product or solution, so to speak. So in that sense, yes, we would be looking at partnerships at different levels, so to speak, at least to start off with. So I think that is likely the approach that we would take on that one. I think when it comes to the branding side, I'd say the -- I think that I think on a relative basis, especially in the U.S., as we communicated earlier, we're, of course, not at the same level as some of our U.S. peers. However, I think what we're also seeing now as we launch our first product and both from the, let's say, the inflow that we see in the first month, the interactions that we have with the distribution partners is that we really stand out from a differentiation point of view, in that we are the scaled player that can provide a global exposure. And as we do that, we have a clear right to participate and win also in the U.S. market over time because we can be that provider that none of the U.S. players can really provide.
Per Franzén: Maybe I can just comment a little bit further on the deal environment and deal activity. So I think what we're saying is that we see a healthy pipeline, both when it comes to new investments and continuing to monetize existing deals for the second half, and we don't need to see an improvement or anything in the market environment. I mean, credit markets are wide open larger deals can get financed. We see strong pockets of deal-making activity across our global platform. And a little bit of volatility from time to time is actually not a bad thing for us, right? I mean it really gives us that ability to leverage that strong global diversification that we have to unlock opportunities in certain parts of the world that maybe we've been tracking and following for years, sometimes decades. So we're excited about our pipeline for the second half.
Kim Henriksson: And on the cost development, I believe you should -- you need to look at the cost development in relation to the revenue. It's not -- it doesn't live a life of its own. I think you heard Per being very committed to us reaching the EBITDA margin goal that we have set ourselves over time. And that's how we will also manage the business. So if we have -- some of the initiatives that we're talking about if they are very, very successful that will have a different effect on the cost base than if we need to adjust it because some of them do not reach their plans. I would -- another example would be if we have a year where there's a lot of carry and a lot of exits that may lead to demand for -- on the bonus side. But on the other hand, it will also lead to sort of less legacy companies to deal with and more capacity freed up for the deal teams. So it's a complex system, and I wouldn't like to start estimating the growth rates in costs very far out into the future because it depends on these factors.
Operator: We will take the next question from the line of Nicholas Herman from Citi.
Nicholas Herman: Three from me, please. One on the changes, one on -- and two on infrastructure. So on the changes that are being made, can I just ask a bit more detail on some of that, please. I guess, firstly, the rationale for some of those changes, I guess, some of which I at least were surprised by. My impression was that back in 2023, the appointment of Suzanne Donohoe seems fairly big for EQT. And then a second part, related question is, you expect -- you said that you expect combining the client relations and capital raising teams with the capital markets teams to drive innovation and closer strategic partnerships as well as capital markets fees. I guess just practically, what does that mean? And can you give us any examples. Then on infrastructure, you called out the infrastructure as a strategic priority. And I guess that makes sense given the scale of the opportunity in your market position and you referenced a plan to grow in Asia as well earlier on the call. So are we talking about a dedicated Asia infrastructure fund or just increasing the proportion of Asia within your global intra-funds and are there any other areas within infrastructure that you expect to prioritize investments? And then finally, a second one on infrastructure and carry, I note your comments that you expect to reach your hurdle rate for Infra IV in 2027. I guess just would higher valuations as a result of lower interest rates be upside to your expectations?
Per Franzén: So starting with just some more reflections on the organizational changes. So we reduced the size of the leadership team from 10 to 8 people, we really saw an opportunity to integrate some of those functions closer into the investment organization, including sustainability. And as you referenced, we also saw an opportunity to create a even closer, better support function with our clients, and that's why we decided to merge capital markets and client relations. And that's really what triggered the changes that we made to the leadership team and that opportunity to simplify things and to reduce the size of the team. And to give you a couple of specific examples in terms of the benefits of merging capital markets and client relations, by the way, that's also a way that many of our peers in the industry are organized today. So many of the larger institutional investors that we have they would like to see also more of an opportunity to maybe participate in some of our credit financings in our existing portfolio companies and new investments. By merging these 2 teams, we'll be able to have a closer strategic dialogue with those clients on topics like that. It helps us drive innovation when it comes to how we work with our co-invest programs, how we continue to build and develop the private IPO concept. So those would be examples of why this is beneficial for EQT and why this has also been very well received by our investors and by our clients. And that sort of ultimately what guides us in terms of how we want to continue to build and develop the firm. And then when it comes to the infrastructure strategy question, I think it's a bit too early to tell exactly how we want to continue to build our business in Asia, across the Infrastructure strategies really and whether that will be in the form of a dedicated fund or whether it will be in the form of just putting more capital to work out of existing strategies, we will have to come back on that topic.
Kim Henriksson: And then I guess the last one was on sort of the timing and upside to Infra IV. I think I'm repeating myself maybe a bit, but I'd say our base case is really that it will not be in carry mode during 2026. There is a scenario if we over -- achieved over and above our own exit forecast, current exit forecast and the markets are exceptionally supportive that could change. But for now, you shouldn't expect that.
Operator: We will now take the next question from the line of Jacob Hesslevik from SEB.
Jacob Hesslevik: Three questions from my side. First, on strategy and outlook, where I was wondering how has key growth drivers and strategies for your portfolio companies changed in these uncertain macro conditions, which could persist for some time going forward? . My second question is on the fundraising for BPEA XI has progressed tremendously well. But could you give some more color on what you see in the Asian capital markets in its developing and which markets or sectors within Asia that currently sees the greatest tailwinds. And my third question is just a clarification on Page 20. Kim, the EUR 1 billion in current mode, is that based on all fast progressing on plan? Or is it the current valuations considering a couple of your funds are actually above plan. So could there be an upside to the EUR 1 billion.
Per Franzén: I'll take the first 2 questions in terms of how we're working with our portfolio companies in this more uncertain volatile environment. Of course, we make sure that all of our existing investments, have action plans in place depending on various scenarios. And if certain policies will be implemented or not, And I'd say we really have a very, very rigorous and disciplined processes internally around this. Taking a step back, right, and reflecting on it, I mean, as we said many times before, we are a thematic investor. So even if some of these policies by the U.S. administration will be implemented in terms of tariffs and so forth, the direct impact will be very limited for the vast majority of our portfolio companies. So we're more focused on those secondary and tertiary impacts. And if you think about it, across many parts of our platform, of our existing strategies, what we're investing into is those thematic opportunities and often also more domestically focused businesses, right, in particular, that's the case across Asia, right? And yes, so for those type of investments, yes, we're just very happy with how we're invested and what the current outlook is, right, but of course, we're paranoid and we make sure to have action plans in place should like the overall environment deteriorate significantly from here. In terms of BPEA IX and just our view on the overall Asian franchise. I mean we're incredibly bullish about that part of our business. That pan-Asia presence that we have is really a key differentiator for us, and it allows us to monetize deals in certain pockets or parts of Asia where capital markets are strong. That's certainly the case right now for India. Also Japan, I'd highlight, where we see a high degree of deal activity and also relatively speaking, strong capital markets. So we do expect to do more and to also put more capital to work across Asia and in particular, also in those 2 markets where we have a strong pipeline.
Kim Henriksson: And on the last one, first of all, I note that these are illustrative round numbers that we have put on this page in order to be -- to help you understand conceptually. But to answer your question, specifically, it is based on plan. and there's an appendix page that goes into the details about the assumptions we have used for that. So you can have a look at that.
Operator: We will now take the next question from the line of Magnus Andersson from ABGSC.
Magnus Andersson: Yes. I'll try to keep this short and sweet. 3 questions. First of all, you sound quite constructive about the exit outlook providing that markets hold up. Does it mean you think that you could execute on the original agenda you had for the year in the H2 '24 report, i.e., of about more than 30 exit events. The second question is when can we expect a hard cap announcement for EQT XI. And thirdly, could we get a more granular split of carry between the funds than you have at Page 10 in the report.
Per Franzén: I'll take the first 2 questions. So in terms of the exit outlook, yes, I mean, based on our current pipeline. There is a scenario where we would actually be able to deliver on the original outlook and guidance that we gave earlier this year. Of course, it's a volatile world. But based on what we see right now, we think that could actually be achievable. And we are optimistic about our current exit pipeline. And I think it also shows in the numbers that we're presenting today, how we've been able to execute on that exit agenda so far this year. In terms of hard cap announcement for EQT XI, the hard caps are always set in connection with an initial -- in connection with the first close. We currently expect that to take place sometimes around year-end. So that would also be the time when you should expect an announcement in relation to the hard cap.
Kim Henriksson: And in terms of the carry by fund, we do not generally disclose that. There is again, in the notes to the financials, there's a table showing the split and carry between the segments of ours and given you know which funds are in carry mode that should help you calibrate it sufficiently well, I hope.
Operator: We will now take the next question from the line of Hubert Lam from Bank of America.
Hubert Lam: Just a couple of quick questions. Firstly, can you talk about how many capital markets fees you had in the first half, and how should we think about this going forward? And secondly, on fee margin for evergreen funds, given that this is going to be a bigger part of your fundraising now, are these margins in line or higher than your existing 1.4% rate and also should we -- will these funds also have performance fee potential also over time?
Kim Henriksson: I can take the first one. And on capital market fees, again, we do not split out all of the small fee components we have in our management fees, but it's in the tens of millions, not the hundreds of millions and -- but I said, it's a focus area of ours, and we hope to be able to grow it over time. And then if it becomes a significant part of our operations, we will, of course, also ensure that we disclose it appropriately to the market.
Gustav Segerberg: And I would say on the evergreen side, everything else being equal, the 1.4% when it relates to the evergreen, I would say that it's typically a bit lower and the reason for that is two folded, one because it's charged on NAV. So i.e., it will increase over time with value creation, so to speak. So the number you will have is an NAV number versus the underlying funds, which is usually a committed or invested capital amount. And then secondly, there is no co-investments, which is non-fee-paying for the evergreens.
Hubert Lam: And also in terms of performance fee potential for evergreens?
Gustav Segerberg: Yes, they are, in general, in the area of 12.5% to 15%.
Operator: We will now take the next question from the line of Sharath Kumar from Deutsche Bank.
Sharath Kumar Ramanathan: Sorry, I realize I was on mute. 3 from me, please. Sorry for coming back on carry. You said that you -- the EUR 1 billion from funds in carry mode would take more than 2 years to realize, I hear your comment on Slide 20 being calculated on the basis of funds performing to plan. But if I just look at '20, '26 consensus, performance fees is around $750 million. which, together with what you guided for 2025 means the aggregate is well over EUR 1 billion. So in short, do you think there is downside risk to consensus carry estimate especially if Infra IV does not come on board. So that would be the first question. And the second is in understanding the FX impact on EBITDA margins in a bit more detail. Do you see any discernible margin pressure if USD depreciates to say beyond 1.2 versus euro. Would that be an impediment in reaching your 55% fee-related margin, from my understanding, around 50% of your revenues are in USD, while 1/3 of your costs are in USD, so you can correct me if I'm wrong. And finally, a question on lockups. I understand it's a few months away. But in terms of the playbook to expect, should we think a repeat of last year's experience, i.e., where you did not do a coordinated placement? Would that be a fair expectation this year as well?
Kim Henriksson: Should I start? On the -- I'm not going to guide in relation to the consensus estimate where we are guiding in relation to our own what we believe ourselves, and I think that what I just said on that carry split and how it will be split over years is correct. Then in terms of FX, yes, we are some 45% or so is dollar based on the revenue and approximately 1/3 on the cost side. If you look at the impact this has had over the last -- if you compare it 2024 H1 versus 2025 H1, it's about EUR 6 million or EUR 7 million at the EBITDA level. So yes, it has already had an impact and of course, who can -- who knows where FX rates will go. But we are monitoring it. We're not hedging it and we are staying close to it and adapting as required.
Olof Svensson: I can pick up on the lockup question. As you may know, we have over 100 partners that are subject to lockups and in Q3, we will have, as I mentioned, about 11% of the share capital being released from lockup. And I'd note that, first, we have had several lockup releases already. And a large part of those released shares are still owned by various EQT partners, i.e., they have not sold all shares that have been released from lockup, that is 1 point to note. Second, I'd note that it's, of course, an individual decision for each of these people as to how they want to manage any released shares. And in that context, we think it has worked very well and we've established a very natural market in our share where trading decisions are executed by each person and decisions are taken by each person in that regard. Finally, I'd also note that you may have seen that we've had various actually insider buying activities over recent quarters as well. So it's also not a one-way agenda in terms of the ownership in EQT.
Operator: Thank you. There are no further questions at this time. I would like to hand back over to the speakers for closing remarks.
Olof Svensson: Okay. Well, thank you, everybody, for joining today's webcast, and we look forward to our continued discussions with you all. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.